Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Peabody's Third Quarter Earnings Call. [Operator Instructions] As a reminder, today's call is being recorded today, October 29, 2019. I'd now like to turn the conference over to Mr. Vic Svec, Head of Investor Relations and Communications. Please go ahead sir.
Vic Svec: Okay. Thank you, Paula. And good morning, everyone. Welcome to BTU's earnings for the third quarter. And with us today are President and CEO, Glenn Kellow, as well as Peabody CFO, Amy Schwetz. During our formal remarks, we'll reference a supplemental presentation and that's available on our website at peabodyenergy.com. Now on Slide 2 of the deck, you'll find our statement on forward-looking information. We encourage you to consider the risk factors that we referenced here, as well as our public filings with the SEC. I would also note that we use both GAAP and non-GAAP measures, we refer you to our reconciliation of those measures in the presentation, as well as our earnings release. And with that, I'll now turn the call over to Glenn.
Glenn Kellow: Good morning, everyone. We had an active quarter with some notable achievements, several challenges and multiple changes to our portfolio and organization. First on the achievement front. I'd like to recognize the Powder River Basin which turned in multi-year low costs. In addition we are advancing what we expect to be a highly synergistic joint venture with Arch Coal involving our PRB and Colorado assets. On the ESG front, our operating teams continue to excel in safety and land restoration taking a coveted Sentinels of Safety as well as two Office of Surface Mining reclamation awards this month. The quarter wasn't without challenges and as we noted last month we were affected by reduced seaborne volumes and pricing, recovery from a highwall failure at the Middlemount joint venture and deferrals of shipments. You've also seen as payback in the Midwest given reduced demand. Finally, I mentioned ongoing changes to the portfolio and organization. We believe the completion of the pending PRB Colorado JV represents a tremendous opportunity to create substantial value. With North Goonyella, while we remain frustrated along with everyone by the protracted timing, we've also identified a path forward. We continue to work to ensure a safety, de-risk the process, optimize the mine plan, reduce and stage costs, and maximize the value of the asset. Also as expected we have closed the profitable Kayenta Mine and announced the likely closure of the Wildcat Hills operations in the Midwest. In Australia, the United Wambo JV with Glencore has received a major permit approval, and we've also decided to proceed with the Moorvale South extension. There's no question that downdraft in industry can lead to pressures, but also opportunities and we continue to evaluate those opportunities with an eye to improve asset quality, generate cash flows, unlock synergies and create shareholder value. Finally, we've made significant strides to streamline our organization recent operational performance and strengthen our portfolio, and work here will continue in coming months. With that, Amy will now cover the financials in more detail.
Amy Schwetz: Good morning, everyone. As I characterize the last year, we recognize that challenges, particularly from our met segment have led to a lack of consistency and result, a consistency to both you and we rightly came to expect. We would note that the met coal segment continues to be challenged in part due to asset quality we have long acknowledged this middle of the road, and we continue to work to upgrade. Shoal Creek has been a great addition to the portfolio and more needs to be done. As we move through the call, we will discuss actions underway to address these issues. On the other hand here is what Peabody has delivered. Our U.S. operations continue to generate cash flows many times that of our CapEx, even with the industry backdrop. Our seaborne thermal operations are highly profitable, even as higher domestic obligations have pressured export volumes. And we put nearly $4 billion into investments in the business, liability reduction and shareholder returns in the last 2.5 years. Against that broader backdrop, let's look at the quarter in more detail beginning on Slide 4. Third quarter revenues totaled $1.11 billion, down 22% from the prior year, reflecting reduced net coal volumes and $90 million in lower pricing, excluding the impact of higher financial revenues. As expected, DD&A in the third quarter declined $28 million versus the prior year from Portfolio changes and lower contract amortization. We also reduced SG&A by 17% to approximately $32 million on a decline in personnel costs. Other items to note include $8 million in legal expenses related to the PRB Colorado joint venture, as well as the $20 million impairment charge associated with the Wildcat Hills mine in the Illinois Basin. Earnings from equity affiliates reflects a loss of approximately $21 million related to the independently operated Middlemount joint venture after the highwall failure in late June. These impacts resulted in a loss from continuing operations net of income taxes at $74 million and a loss per share of $0.77. Adjusted EBITDA totaled $150 million for the quarter compared to $372 million in the prior year, with the largest factor related to the decline of more than $300 million in revenue on lower pricing and volume. Let's take a closer look at operating performance starting with our Seaborne Thermal segment. In line with expectations seaborne and thermal volumes picked up quarter over quarter increasing to 3 million tons of export thermal sales at an average realized price of $72.24 per short term. Higher quality Newcastle volumes represented 74% of the mix and accounted for favorable realizations even as Newcastle spec prompt pricing moved below the 10 year average. The segment generated third quarter adjusted EBITDA of $77 million despite some $60 million of lower pricing. Margins for Seaborne Thermal totaled 31% underpinned by a strong cost performance at both the Wambo Underground and Wilpinjong Mine. Within met coal results, sales were impacted by customer driven deferrals and a lack of production from North Goonyella. Third quarter shipments totaled 1.8 eight million tons at average realizations of 1294 per ton. Lower volumes, along with higher ratios at the Coppabella Mine and an extended longwall move at Metropolitan Mine resulted in elevated met coal cost of 113.63 per tonne excluding North North Goonyella. In addition lower yields and conveyor downtime followed by subsequent upgrades led to elevated costs at Shoal Creek. Within U.S. Thermal, adjusting EBITDA of $153 million was largely in line with the prior year as cost improvements in the PRB and Midwest offset the impact of lower pricing and volume. The PRB achieved cost per ton of $8.69, a multi-year low. That's 4% below prior year and 12% lower than the first half of 2019. This led to PRB margins of 21% during the quarter, and. Levels that continue to be the best in the basin and again this year. In the Western segment, adjusted EBITDA increased $18 million versus the prior year, on strong performance from Twentymile and increased revenues associated with customer funding for post mining costs at Kayenta.. Even with a 14% reduction in sales volumes, the Midwest delivered adjusted EBITDA in line with the prior year as margins increased over - both over the previous quarter and 2018 levels. On Slide five. Free cash flow totaled $92 million, driven by operating cash flows of. $176 million and CapEx at $86 million. At the quarter end, cash and cash equivalents totaled $759 million with continued healthy liquidity levels of $1.35 billion. We remain committed to ensuring financial strength, and we've taken considerable steps to ensure that stream. And we believe we have a balance sheet that is well positioned for volatility inherent to the mining industry. Year-to-date, cash return to shareholders has been largely balanced between buybacks and dividend. Share repurchases accelerated in the third quarter relative to the second totaling $144 million. As a result, Peabody's share count has been reduced by 30% since our listing to about 97 million shares today. We remain committed to shareholder returns as a basic tenant of our investor appeal, understanding that modest deleveraging and reduced coal pricing moderate our near-term cash flow generation. Our balance sheet is strong. Our cash level is high. Liquidity has only increased since last quarter. And our reduction in liabilities has nearly matched our substantial shareholder returns in the past 10 quarters, which by themselves nearly total our entire market cap. Turning to Slide 6. We are updating our full year guidance ranges for a number of items. Starting with our Seaborne and Thermal export volumes. We now expect about 11.5 to 12 million tons for 2019 on increase required domestic shipments. This reflects the lower end of the initial range we gave at the beginning of the year. Our cost guidance remains unchanged. Met coal sales for the full year are now expected to be between 8.5 million ton and 9 million ton. This reflects the softer PCI spot market, as well as production challenges. We've seen some recent interesting pricing dynamics between imported and domestic coal in China and are keeping a close eye on the arbitrage between December and January pricing and we'll defer volumes if it's economically rational. As a result, we anticipate full year met coal cost of about $100 per ton. In the U.S., we have tightened our ranges for PRB volumes and lower Midwest volume. The midpoint of our PRB volume guidance remains at 110 million tons, reflecting strong third quarter in October shipments. Given the events of the summer, the majority of shipments for the remainder of the year represent lower quality coal per customer request. In the Midwest, we are now expecting volumes of about 60 million tons due to production declines at several mines on lower customer requirements along with negotiated deferrals. We have lowered the higher end of our overall U.S. cost guidance and now expect cost to be between $1,395 and $1,445 per ton. We also continue to refined our capital requirements and are reducing our 2019 CapEx range to $300 million to $325 million. Fourth quarter adjusted EBITDA is expected to be lower than the third quarter, primarily as a result of the closure of the Kayenta Mine, which contributed $30 million in the quarter. We also expect higher volumes across multiple segments, an increase in required Australian domestic thermal shipments and lower pricing to impact results. Looking ahead to next year, about 75% of our PRB volumes are now committed for 2020. Current mine plans show increasing volumes of higher BTU coal in 2020 than in 2019. We continue to have a strong contracted position in the Midwest. We have about 13 million tons of Midwest volumes priced for 2020 and an average of $39 per ton, with some 11 million tons priced at a similar level for 2021. This reduced volume reflects portfolio changes made during 2019, as well as an already fully priced book for 2020. In a basin with significant swings in export demand, we see this committed position as a significant competitive strength. From seaborne perspective, we are now anticipating closure of Millennium in early 2020 as we've been quite successful at highwall mining which is continue to extend its life by multiple months. We are anticipating some 900,000 tons to be sold this year from Millennium. And we've also extended the life of our seaborne thermal open-cut operations through both the Wilpinjong extension and United Wambo JV and therefore we would expect similar volumes as 2019. Let's now look at the industry fundamentals that have been at play, beginning on slide 7. Recently, we've seen a rebounding - we've seen a rebounding in met prices, following a 20% decline in the average prices from the second to the third quarter of 2019. Chinese met coal imports remained strong with August marking a new monthly met coal import record of more than 9 million tons. We expect the pricing spread between domestic Chinese coking coal and imports to create tension with import restrictions and incentivize imports as we move into the New Year. In addition, rising India met coal imports are projected to maintain momentum on growing steel needs, which India is unable to source at home. Growth in met exports by Australia, Russia and Mongolia have been muted by declining U.S, shipments. And as we look ahead, capital investment in both metallurgical and thermal coal has declined in recent years as coal use continues to rise. From 2011 through 2013, a $154 billion of capital investment was deployed by major coal producing regions. In the last three years, only $72 billion was deployed, representing less than half the capital that was invested during the last peak cycle. Moving to seaborne thermal, prices have lifted from their September lows in recent weeks. As expected, ASEAN import demand continues to drive seaborne thermal growth. Vietnam imports have more than doubled year-to-date through September. China and India continue to show strength with imports rising some 20 million tons. On the supply front, both U.S. and Colombian exports have declined sharply through August in response to unfavorable netback pricing. And as we look ahead, we would expect ASEAN countries to continue to offset declines in Atlantic demand over time as urbanization and new coal fuel capacity creates greater need for imports. It's no coincidence that Peabody is positioned in Australia as we expect it to serve these growing demand centers. Glenn?
Glenn Kellow: Thanks, Amy. Okay. And that's the industry backdrop and now I'd like to walk through a full agenda of business updates starting on slide 8. We are taking aggressive near-term actions centered on our three strategies targeted towards long-term success and creating value for shareholders. Activities in each of these areas are well underway to seize opportunities as well as combat pricing pressures, rising overburden ratios and reduced scale. We also believe these actions will be enhanced by steps to streamline the organization and strengthen the portfolio. Last quarter I noted the we are advancing a review of the company's organizational structure with the assistance of outside advisors. Currently, we are continuing to transition from a business unit structure and are reshaping the organization to ensure the operations are squarely focused on safety, cost and volume. These centers are operations on the basics while streamlining the typical corporate functions of finance, IT, supply chain among others. We believe this new structure will increase efficiencies and lower costs in 2020 and beyond. In the broader project, we have identified annualized cost improvements totaling $50 million and further analysis is underway to capture additional savings over time. Let’s now look at our seaborne strategy on slide 9. We offer Tier 1 seaborne thermal coal operations and are actively exploring means to upgrade our met coal platform we've always characterized as mid-tier. Any changes to our seaborne portfolio would include both organic and inorganic growth opportunities over time. Some examples of this. Firstly with Peabody and our partners, we've approved the Moorvale South extension project. This extends the mine life to 2029 and we also expect increased coal quality. We will transition from a greater mix of PCI to an enhanced coking coal profile as early as next year. The project also provides optionality for future extensions and allows continued blending with Coppabella coal. Moorvale South will utilize equipment transfered from our Millennium Mine, which leads to low capital equivalents of about $30 million for the project. Next, we are planning to operate two longwall kits at Shoal Creek in November. The mine is transitioning to a new district, which provides an opportunistic window to run both longwalls at once for a brief time. We expect this will result in increased fourth quarter production over muted third quarter levels. We are also upgrading the conveyor system to improve long-term reliability. Other activities include improving equipment utilization and mining methodology at the Coppabella Mine given a several year elevation and overburden ratios. Our progress continues at North Goonyella. To-date, we've stabilized the mine, ventilated and re-entered Zone A, preserved opportunities to access reserves and ensured the safety of every individual on site. In July, we noted we were evaluating paths to recognize value from these assets given the long delays with tasks that should have taken days were taking weeks and even months. We have since completed our detailed review and assessment and will forego attempts to access the 10 North Panel that would have required to explore and mediate the most impacted areas of the mine and the unusual and protracted measures. Overall, we believe the highly restrictive approach from QMI has required a greatly disciplined approach from Peabody. As such, we have identified a preferred path, which is to mine the southern middle seam reserves, beginning with the 6 South Panel. We believe this path represent significant lower risk, the best path to return the regular way mining and maximizes the value of a mine with a potential life of several decades. Peabody's preferred path would include the ventilation of Zone B using bore holes from the surface. Incremental spending for ventilation is contingent on obtaining pre-approval from QMI and that process is underway. Following planned ventilation, we intend to re-enter Zone B and assess conditions with a target of developing the southern panels. These panels include approximately 20 million tons of high quality hard coking coal. At this point, we have completed most of the essential work needed in Zone A. Let me be clear, all steps we've taken thus far have not only been necessary, but beneficial to preserve access to an additional 65 million tons of hard coking coal in the lower seam. Development of that longer-term project is now in the pre-feasibility stage. During our review, we considered a host of options including the mine - to mine the southern panels from the surface to access multiple seams. Given current barriers such as the cost of the box cut, timing of permits and cash flows, this was determined not to be a preferred path. At this point, we believe it's far easier to control money than time. Given the expected length of time to ventilate Zone B, we are significantly lowering labor requirements and planned holding costs. As such, we reduced most of the remaining salaried and hourly workforce and are looking to offer potential employment opportunities to fill vacancies at other Peabody mines where practical. We are also reducing our quarterly run rate estimates for 2020 to approximately half that of recent levels. In addition, steps have been taken to market our take-or-pay commitments as well as our use of our prep plant and loadout infrastructure, which could further reduce quarterly costs by a further half again. Only if we gain pre-approval, we would then expect to incur additional costs of $12 million to $15 million to ventilate Zone B over a multi-month period. Assuming the successful ventilation or re-entry of Zone B, we estimate 2020 project capital costs are approximately $50 million to $75 million beginning in the second half of the year with development of 6 South. A panel this length should require about 18 to 24 months to develop based on typical development rights and then we would be in a position to begin longwall production. As you would expect, we will continue to refine capital and cost estimates as work progresses through Zone B. I'll reiterate that we are not committing to incremental capital until we've ventilated and explored Zone B. We would also look to mitigate cash outlays by selling development tons into the market. Within the seaborne thermal coal, the United Wambo joint venture received a key approval from the New South Wales Planning Commission in late August. The final step is a federal permit that we expect to be granted later this year. Sharing of production is projected to begin by the end of 2020. The JV is expected to optimize mine planning and improved the strip ratios, enhanced quality and has the potential to extend the life of this mine beyond 2040. We are also working to improve fourth quarter production volumes at Wambo Open-Cut & Wilpinjong through the use of additional equipment from Millennium. Equipment was transfered to Wambo and Wilpinjong late in the second quarter of this year to improve second half production volumes. Turning to slide 10. Within the U.S., we are continuing to take necessary actions to adjust to challenging industry conditions through a combination of optimizing mine plans, paring back operations and matching our workforce with customer demand. Our focus is on maximizing cash generation. And Amy noted earlier, our U.S. adjusted EBITDA has outpaced cash outlays by 5.5 times in recent years, demonstrating the significant benefits of this business even at a time of declining demand. First, the centerpiece of activities in the U.S. is certainly the pending PRB/Colorado joint venture With Arch. The JV is continuing to progress through the regulatory approval process. Recently Peabody and Arch agreed to a timeline with the FTC with review anticipated to include during the first half of 2020. Assessment continues to validate that the JV is expected to unlock synergies with a pre-tax NPV of $820 million. Next, in the Illinois Basin, we are centering the portfolio around our coal mines to maximize value. We are shifting contracts to more productive mines, extending contracted volumes into future years and scaling back production and workforces at several mines. Just this month, we announced the likely closure of the Wildcat Hills Mine which was essentially break even on a year-to-date perspective. Finally, we are continuing commercial negotiations with the power plant owner regarding the final closing obligations at the Kayenta Mine. As a result, we'd expect potential incremental near term cash flows. I'll turn it back to Amy to cover our third strategy around our financial approach.
Amy Schwetz: Our financial approach was one of our earliest commitments upon emergence and I believe we have made tremendous progress. On slide 11, to briefly recap our actions since mid-2017, the company has generated $2.5 billion in free cash flow and reduced total liabilities by approximately $1.3 billion. We've reinvested $1 billion in the business through sustaining capital expenditures, life extension projects and the acquisition of a highly profitable Shoal Creek Mine. We've advanced the PRB/Colorado JV and returned $1.6 billion to shareholders. As you can see, we've been quite holistic in our approach and still have over $1.3 billion in liquidity at quarter end. During the third quarter, we initiated an opportunistic refinancing initiative with key requirements and a robust set of objectives. Through this process, the company successfully upsized its revolving credit facility from $350 million to $565 million and extended the duration of $540 million of the capacity to 2023. We also obtained amendments to the credit facility as a necessary step to enable the pending PRB/Colorado JV, while leaving the company's existing 2022 and 2025 notes outstanding at this time. We are planning to move to the lower-end of our gross debt range of $1.2 billion to $1.4 billion, while maintaining our liquidity target of $800 million. With our increased revolver capacity, we can move to a lower debt level in a liquidity neutral manner. In addition, our lower debt target better accommodates future portfolio changes and lowers fixed charges, in turn further - and in turn further enables cash returns to the shareholders. We will continue to evaluate appropriate gross leverage targets taking into consideration company-specific and industry-related factors as we move into 2020. That's a review of the quarter, the industry and our steps to create value. With that, I'd like to turn the call over for questions. Operator?
Operator: Thank you, ma'am. Ladies and gentlemen, at this time, we will now begin the question-and-answer session. [Operator Instructions] We'll go to Lucas Pipes with B. Riley, FBR.
Lucas Pipes: Hey, good morning everyone.
Amy Schwetz: Good morning, Lucas.
Glenn Kellow: Good morning, Lucas.
Lucas Pipes: Hi. I want to follow up a little bit more about the pathway for North Goonyella. So the way I understand it, you will have ongoing quarterly costs call it $10 million after the reductions you announced. Then $12 million to $15 million to ventilate Zone B. And if that's successful, $50 million to $75 million to develop 6 South. What could come after that. I think the market is really looking for some holistic guidance on what the total cost could be to bring this operation back into production. So if there is anything else that would have to be spent, I think that would be really helpful to know now? Thank you.
Amy Schwetz: So Lucas, I'll start and I'm sure, I'm sure, Glenn will jump in. I guess to start with, we've talked about reducing our holding cost essentially by half and that is in part due to the labor reductions that are underway in Australia right now. And we're looking at ways to reduce that by another 50% through reduction in take-or-pay costs and the costs associated with idling the prep plant. And we've talked about, you're right about the $12 million to $15 million that would be incremental to ventilate Zone B. And then in the back half of the year, we anticipate moving into development of those southern panels. The first panel we're going to develop is quite a large panel, longer than the one that we would have developed from the other end of the mine had we progressed further and into the affected zones. And so, we'd anticipate depending on when development starts that we would spend between $50 million and $75 million of capital in 2020. We've not commented before that or beyond that for a couple of reasons. One, the amount of capitalization will depend on when we switch over to development. So some of the costs that we're spending today if we were in development mode would be part of the capital expense of the project. And the other element of this is that we need to get our labor strategy firmed up in terms of what the labor will be employed on site during these processes and also what the revenue is that we'll generate from the development tons that we produce during that period of time. That won't necessarily impact the cost or the capital deployed to the project, but it will impact the net cash outflows from that project as we move through that period at development. The one comment that I would make and one of the reasons why we feel confident moving forward with this preferred path is as we look at the southern panels of the mine, we've become more and more confident that the cost structure in the south is at or lower than the cost structure that North Goonyella was at previously and the returns under a range of options that we've looked at have appeared robust.
Glenn Kellow: And maybe just a few other things there. Obviously what we're talking about is a staged and de-risked approach and step one is to get the cost structure down, which Amy indicated by half and then a further half being targeted. We then are going to commit to additional capital which in part increases the -- has the potentially increase of time, but I think is a more prudent and de-risked approach. The first initial milestone we'll be getting, which is unusual, but based on discussions and negotiations attempting to get a pre-approval of our plan with QMI prior to you undertaking and committing to the re-entry of Zone B. Based on what we assisted as Amy -- and move our way through, it's our intention then that we're moving development. This is a 3,200 kilometer panel initially. And as certain (inaudible) panel initially and that would require about an 18 to 24 months development. Now you would get development tons or significant development tons out through that process, but longwall production wouldn't occur until the end of that 24 months or 18 to 24 months period.
Lucas Pipes: Okay. That's helpful. I think it would still be helpful to know if there is ballpark, additional capital required beyond the 50 to 75, especially given the duration of that development and the uncertainty we've seen to-date. But I'll switch over to my second question. On September 5th, you confirmed full year targets and I think at that time your met coal and this does not include North Goonyella met coal production cost guidance of 90 to 95, now it's about $100. And could - I think you alluded to it in terms of cost drivers, but that's still a very significant cost increase in two months. What happened, and if you could put dollar signs next to the unanticipated cost increases I would very much appreciate it? Thank you.
Amy Schwetz: Yeah. So as we look at the increase from what we have indicated would be at the high-end of the range of about $95 to around $100 in this release, I'd really - and characterize that in two components. The first is some unplanned outages and some changes that we have in volumes from Shoal Creek, Shoal Creek has had a fantastic start to the year in our portfolio. This quarter we saw that performance change a bit for two reasons, one of which we had anticipated, change in yield. We had anticipated and it flagged as something that from time-to-time will generate volatility in their costs, but some unplanned downtime on the belt system at the mine was not factored in our cost and our volume guidance ranges for the back half of the year. And then the second piece of this is really the performance out of the CMJV in the back half of the year, and I would characterize that as two things. One, we’re moving through areas of higher overburden. We've talked about that at length. But impacting that as well as just overall demand for that product as we look to move spot volumes in the back half of the year. So some of those deferrals of shipments and when we say shipments, you're talking about sort of five boats maybe or five shipments in the back half of the year that we see will likely be deferred. And as we move forward and that impact of volumes is likewise impacting cost and pushing us -- and pushing that to that $100 a ton level.
Lucas Pipes: Got it. I appreciate it. Thank you very much.
Operator: Moving on, we'll go to Chris Terry with Deutsche Bank.
Chris Terry: Hi, Glenn and Amy. A few from me. Yeah, maybe just starting on North Goonyella, I appreciate all the detail you've given on that first answer, but just maybe reflecting on how you're seeing things now versus when you first started to go back into the mine. Would you say that the majority of it has just been the time delays has meant that you've had to change the approach, has it been technical, has it been cost driven. Maybe if you could just summarize where you got to in the review and what the key findings would for the change in tact at the moment or is it somewhat market driven as well? Thanks.
Glenn Kellow: Yeah. It's a good question, Chris. So a couple of dimensions to that and I think I'd say, it's been the approach as part of the regulatory protocols that we've been operating under different to what we envisaged when we started. I don't think we've seen anything significant as we described on the coal lost that was unusual than what we were expecting versus what we would have anticipated has been conditions. But tackling those conditions and working away through and what has been a highly, well an unprecedented process in Queensland, although it's not unprecedented globally has meant the protocols that we were operating with under had just required a different technical approach and that in turn has led to a significantly greater time. As we look ahead, if we extrapolate at that time and to some degree the uncertainty of gaining approval for elements within that from QMI, it just became impossible to predict being out of reach the terminal panels in a commercial way. That's enabled us to focus on the Zone B re-entry process, which in turn is likely to give us a greater chance of success in gaining approval of QMI which will then enable us to get into regular way mining in terms of back to regular way gate road development of the longwall operation. So the long answer is the regulatory protocols, which we've described in the past have really necessitated I think a different approach and a de-risked based approach as we work our way through. Having said that, we are cognizant of the market conditions and we're continuing to drive to low holding costs through the immediate period.
Chris Terry: Okay. Thanks. Thanks for the color. A question for you Amy. Just on the total CapEx this year 300 to 325. How do we think about the set up into 2020 for that number against the cost savings that you're trying to achieve, I assume you'll give guidance sort of light of day, but I just wanted directionally if you could talk through the moving parts?
Amy Schwetz: Yeah. So I think we generally talk -- we'll generally talk about sustaining capital across both the U.S. and Australia being around $200 million annually. We've talked about Wambo and Wilpinjong being about $100 million of spending. I will say, a good portion of our deferrals have come from Wambo Open-Cut, but as we look at our reduced CapEx for the year, some of that has just been understanding what it is that we can afford and what their returns on in that mix as well. So our shifting of guidance involves both reductions in deferrals out of that amount. And then of course talked about North Goonyella potentially $50 million to $75 million next year dependent on achieving the approval that we've talked about.
Glenn Kellow: Yeah. And I'd add Moorvale South, sorry because I'd add Moorvale South into that as well. And as we look to that project, we had over 100% returns associated with that and sort of mix, changing the mix to a greater quality in there as well as available to the significant life extensions. I would say, I think Amy was talking about indicative levels, we're obviously working through the capital budgeting process now and those sustaining numbers we'd expect to the able to manage.
Chris Terry: Okay, thanks. Just a last one from me, just on the Arch JV, you said first half of 2020 to provide an update. I was just wondering if you could give some comments on the feedback you've provided to-date whether the existing framework is one that you think will still pass into next year? Thanks.
Glenn Kellow: Yeah I think what we've entered into is an agreement that outlines a timeline for the completion of the review, which we would expect to occur in the first half of this year, that's been entered into by both parties in the FTC. I think the indications today, everything we see continues to support the fact that we believe that it's an old fuels market. The coal is competing significantly against subsidized renewables and cheap natural gas. As we've looked at the synergies, and once again, this is really unique transaction by nature of the assets coming together, but everything we've done to-date has reconfirmed those synergies and we feel comfortable about that. So we think we continue to have a very strong case. We've received a lot of support from stakeholders through that process, but it is one in which as you can understand is a methodical and rigorous process with the FTC. But I think the good news there is we have an agreed timetable. And we're focused on delivering the transaction in the joint venture in the significant synergies that we've outlined.
Chris Terry: Okay. Thanks Glenn.
Operator: Next we'll go to David Gagliano with BMO Capital Markets.
David Gagliano: Okay. Thanks for taking my questions. Just regarding North Goonyella again. Are you exploring any other alternatives besides the development process, i.e. perhaps selling some or all of it to spread some of those longer term development risk?
Glenn Kellow: Yeah. So all options are on the table, David. We indicated previously that we would explore commercial options and alternatives and synergies. I think the other addition which I called out is that we do have a project improvement visibility, which is about the lower seams. But North Goonyella is a fantastic resource and reserve, of which this mine should have a multi decade mine life with a high quality, hard coking coal product. We have the infrastructure and the returns on any of the projects that we see with respect to North Goonyella are extremely attractive. And that's why we continue to be focused on finding a way to bring North Goonyella back online in a way that's commercially prudent. Then this approach, which we believe is low cost, de-risked, we think it represents the best path to do that. But all commercial alternatives are on the table, David, which we in part flagged three months ago.
David Gagliano: Right, okay. And - okay, I'll leave it that for that question. Just on foregoing the 10 North path, how many reserves proven/probable reserves are impacted from that change?
Glenn Kellow: Yeah. It's 3 million tons. They might have been a little bit in an adjacent panel, which we weren't mining beyond that, but I'm going to say 3 million tons.
Amy Schwetz: About one year's work of mining.
Glenn Kellow: Yeah, that's right.
David Gagliano: Okay, all right. That's helpful. Thank you. And then just on the CapEx question again. For 2020 or sort of indicative commentary, I guess, sustaining CapEx you mentioned was $200 million annually and then an additional $100 million for Wambo and Wilpinjong and then $50 million to $75 million for North Goonyella. I heard all those numbers, are there any other numbers we should be thinking about? And are those numbers...
Amy Schwetz: So I think - yeah, so I think the other number to think about is the $30 million on Moorvale South. And the one thing that I would comment on is the caveat that Glenn made is that we are working through our capital plans for 2020 as we speak and certain numbers, particularly that sustaining number and the timing of project capital continue to get quite a bit of scrutiny internally. So we'll work through that, particularly in light of volume profiles as we look at 2020.
Operator: Moving on we'll go to Matthew Fields, Bank of America Merrill Lynch.
Matthew Fields: Hey, Glenn and Amy. Can you give us…
Amy Schwetz: Morning, Matt.
Matthew Fields: You got a timetable on the Arch JV finalization hopefully. Can you give us an idea about how you plan to come back to holders of the 22s and 25s to effect the changes you need to complete the transaction?
Amy Schwetz: Yeah. So Matt, we're currently in process of developing plans for those bonds at this point in time. We got feedback from the market in September. We're taking a look at that feedback with our advisors and determining our next move. Based on that feedback and partially in part due to that feedback, we've indicated in this release that we're moving towards the low-end of our targeted debt range of $1.2 billion. We also referenced that we'll continue to evaluate those levels as we move into 2020 based on company-specific and industry factors. And I would say, our strategy for those bonds and may be part of those company-specific factors that we look at going forward, obviously we have options to look at this as a partial refinance or the consent process and we're still working through those details.
Matthew Fields: Okay, thanks. And...
Amy Schwetz: We do - I would just reiterate with respect to this joint venture that we definitely believe that this is a credit-positive transaction. And so, it's something that we think is to the benefit of bondholders as we move forward.
Matthew Fields: Thanks. And as a follow-up. I'm happy to hear that you're saying you'd continue to evaluate those gross debt targets. If met coal stays at $150 a ton, is that something that would sort of move the goalpost on where you think that gross debt number should be?
Amy Schwetz: Certainly as we shake out what 2020 looks like for us. We'll take a look at that. I'll comment that we believe that $150 for met coal is a price that we should be able to make money at and we've talked about corrective actions that we want to take with respect to our met coal mines to bring our cost structure, cost structure down. But you are absolutely spot on, not necessarily with met coal cost, but with our overall view of the market and our overall view of cash flow that as we progress we'll certainly take a look at those factors as we develop a debt range -- our gross debt range. I just comment overall that and we need to be more specific about this because I don't think that the capital markets fully understood this that our financial targets are always, what I would determine is flexible, meaning they are under review on a fairly continual basis. So that's not something that we woke up in September and said, oh, we need to continually look at these, but it's something that I don't think we made clear to the market. So when we talk about our financial objective being generate cash and maintain financial strength, we really do view those as sort of the tickets to entry to reinvesting in the business and allocating and providing shareholder returns, but that's something that we certainly understand that we need to make that point clear to the markets as we move forward.
Matthew Fields: That's very helpful. Thanks very much.
Amy Schwetz: Thanks, Matt.
Operator: Next we'll go to Matt Vittorioso with Jefferies.
Matt Vittorioso: Yeah, good morning. I guess just on the back of Matt's question, maybe thinking about the capital allocation plan and how you've executed thus far. Obviously, no one can predict where equities are going to go and whatnot, but you've spent some cash on buying back equity in the quarter. I'm just wondering how you sort of way, sort of the uncertainty of whether or not you'll get rewarded or not for buying back equity. And clearly in this quarter and at least thus far you've not been rewarded for buying back $150 million of equity versus say potentially looking at your six and three note to 25 trading at $0.95 on the dollar. You've also got to come back to those holders and potentially pay them a consent or do something to get them to go along with this JV. You almost get a guaranteed positive return in addressing your debt here and that return gets better and better every day, how do you weigh that against buying back equity while your EBITDA is coming down, which clearly the equity market does not like?
Amy Schwetz: So I think that we indicated how we feel about it because we've said that we're moving to a lower gross debt level as we progress forward here. So understand the math on that. We understand the cost of the debt that was sort of put out in front of us in the September timeframe and we made an economic decision at that point in time in terms of how we wanted to handle these things going forward. So as we think about our capital allocation approach, I'd just state again that generating cash and maintaining the strength of our balance sheet are the first two tenants of that approach. We're committed to those. As we think about moving forward, we've indicated to maintain that financial strength. We want to move to the low-end of that targeted debt range. We referenced company-specific factors is something that might change that moving forward. That would include reduced EBITDA levels, it would also include company-specific factors that are necessary to obtain approval for that joint venture going forward. As we look at shareholder returns, there is a lot of work that we've done over the last couple of years. Our buyback program has certainly been the largest component of shareholder returns, but this year you've seen us move to a more balanced approach between shareholder returns and dividends and not quite 50-50, but not far off of that through the first three quarters of the year and you've also seen us at times raise our sustaining dividends. So I think that I just want to reiterate first two steps of the financial approach, maintain -- are inflexible in terms of how we look at the second two pieces, but in terms of shareholder returns, we have and we will continue to exhibit flexibility in terms of that allocation between dividends and share buyback.
Matt Vittorioso: Got it. Okay. Thank you.
Operator: Next we'll go to Mark Levin with Seaport Global.
Mark Levin: Yeah. Great, thanks for the time this morning. Couple of questions, first on met coal cash cost, you mentioned some of the things that you may be working on to help drive down the cost. What do you think is a reasonable long-term met coal cash cost assumption let's say today's met prices?
Amy Schwetz: So Mark, I guess as we move into 2020 and I think it's fair to say that we're targeting improvement over the levels that we're operating at now. And so, thinking about that $100 it's something below there. We've generally maintained a target of between $85 and $95 per ton, which has given us some leeway for generally operating issues and currency and pricing, impact on royalties. And as we look at our production plans going into 2020, we're going to be working hard to reduce that $100 number down to those more historical levels.
Mark Levin: Okay, great. And then next question just has to do with volumes in 2020. And again, not looking for guidance per se, but just how you guys see the U.S. thermal market evolving in 2020, let's say today's gas or gas and power prices. When you think about what your volumes could or should look like in 2020 if we kind of have the same environment next year that we do the -- last six months of this year, what do you think is a reasonable way to think about Peabody's thermal volumes in 2020?
Amy Schwetz: So first starting with the PRB. As we talked about the 75% priced in that basin, that's at the midpoint of our current range. So we actually are in a pretty decent committed position today out of that basin, probably better than what we were at last year at this time in terms of committed volume. And so, that would be my guide as we looked at it. Secondly, on the Illinois Basin, we highlighted a couple of portfolio moves that we have made in the Illinois Basin, potential closure of mines that were not necessarily generating cash flow and we're at near breakeven. So as we think about 13 million tons next year that we have priced at that $39 per ton, we certainly would have capacity at certain mining operations to go beyond that. But going into going into 2020, that's going to be pretty close to our production plans with upside if customer requirements would necessitate. I comment that as we look at that 13 million tons committed for 2020, we have 11 million tons committed for 2021. So we continue to have a pretty healthy committed level out of that basin, which we think is a key to success.
Mark Levin: And Amy, last question from - I'm sorry, go ahead.
Glenn Kellow: One element, Mark, a lot of the Powder River Basin and other regions of course are pretty highly sensitive to natural gas prices. So you've heard us say before, that probably a $0.20 move in gas prices can be 25 million tons for the industry as a whole and obviously we're a portion of that. As you look right now, you see gas prices that are probably roughly in line as you noted with where we are today on the forward strip out there. So it gives you some indicator of where you start from.
Mark Levin: And Last question for me. The SG&A came down a lot, I think you guys were down maybe $8 million less than what we were thinking or what was in guidance. Is that the new quarterly run rate going forward that 32 or should we go back to something higher than that?
Glenn Kellow: Well, I had indicated that we have a organizational review that's underway that we've got quite an extensive activity of not only looking at streamlining our organization, adjusting the changes in the portfolio, but finding ways in which we can improve our processes and at the same time strengthen the operating assets focus on safety volume and costs. So it is a comprehensive exercise, it's going down to each role in the non-operational areas, plus a range of improvement activities. I think you've started to see some of those benefits flow through. As we look to firm up those plans, we'll be able to talk more about that impact, but you can assume a lower run rate, which is what we've indicated. The costs we've identified to date, which largely focused on SG&A or overhead areas, but would also touch on somewhat OpEx is we've identified some $50 million in savings. And I think the team are looking to generate our own catalysts and the things that we can do to improve our business that significantly add to cash flows.
Operator: And our final question will come from Michael Dudas with Vertical Research
Michael Dudas: Thanks for letting me in. Just two quick ones, mostly have been addressed and answered. One, with regard to Shoal Creek what you're doing there, does that have any potential positive impact on productivity, volumes, quality for 2020 and beyond? And second question is, once you get approval from FTC or things go as according to expectation, what's the timeframe of effecting the closure and is this could potentially be done by the second half of the year, what's the - and I don't recall, maybe you've said this before what the original plan is to effect that joint venture and get it completed? Thank you.
Glenn Kellow: Yeah. So maybe on Shoal Creek, and as Amy said, Shoal Creek has been off to a great start with us in the portfolio, but we are working through what we had some belt outages, conveyor system outages that we are looking to upgrade. You're right that improvement in availability and reliability we would hope would flow through into 2020 and beyond, already we believe is a good mine, a strong mine. The second part, we don't - well the conversation around the consents required with respect to financing is already - has already been covered. But we're going to actually see that once we had approval in order to be able to proceed from a regulatory perspective that this would be a reasonably quick execution we believe. We operate within the region. We've got common - a lot of commonality across the operations and we believe that this can be completed within I'll say 90 day period of time. So certainly, first half of the year, FTC, I think within three months of gaining that approval we will be able to look to target to close.
Operator: And Mr. Kellow, I'll turn it back over to you for any additional or closing comments.
Glenn Kellow: Thank you, and thank you for your questions and participating in today's call. I would like to express my appreciation to our employees. They bring to the workplace dedication, skills and their commitment to safety each and every day. To all of our shareholders, thank you for your continued support as we work to build sustainable value. Operator that concludes today's call.
Operator: Thank you. And this concludes the Peabody Q3 2019 earnings presentation. Thank you for participating.+